Operator: Thank you for standing by, and welcome to the Helbiz Third Quarter 2021 Earnings Conference Call. Currently, all participants are on a listen-only mode. As a reminder, today's program may be recorded.  I'd now like to introduce your host for today's program, Gary Dvorchak with the Blueshirt Collar -- excuse me, with The Blueshirt Group. Please go ahead, sir.
Gary Dvorchak: Thank you. Hello, everyone, and welcome to Helbiz Third Quarter 2021 Results Conference Call. With us today are Founder and Chief Executive Officer, Salvatore Palella; and Chief Financial Officer, Giulio Profumo, who will review the operating and financial highlights.  We issued our financial results press release today after the market close. It's available via Newswire and on our website at investors.helbiz.com. A replay of conference call will be available later today on the Investor Relations page of our website.  Please note that our press release and this conference call contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are only predictions and may differ materially from actual future events or results due to a variety of factors. Helbiz can give no assurance that these statements will prove to be correct. We have no obligation to update these statements.  We will also discuss certain forward-looking non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. We urge you to review the discussion of our non-GAAP financial measures and the risks associated with our business that are described in the safe harbor provision for forward-looking statements in our filings with the SEC.  I will now turn the call over to Salvatore to begin. Salvatore?
Salvatore Palella: Thank you, Gary, for the call. Thank you. Thank you, everyone, to be on this call. I'm really excited and happy to share with you our first quarter. I think this is a great opportunity also to share some achievement and be sure that you all understand what is the company looking forward for the next quarter 2.  We are pleased to share our Q3 result for the first time as a public traded company. Our operating and financial results demonstrated the early transaction we are seeing. We added more city in both the U.S. and the European side, growing our user base and trips substantially. Mobility is our main business, and we are really happy to share opening of more city and a substantial order we placed a couple of weeks ago around 25,000 vehicle, order ready to be on the street by the Q1. That would mean -- means that the company was able to raise capital around $60 million from the -- including the IPO, and to -- not an issue for the supply chain part. That means that our scooter and our bike that we order and also part of the moped will be on the road by the beginning of the next year.  This means we are going to increase our revenue substantially and will be also very important for opening new cities, especially in the United States, where we decides to invest, always more, and opening more city as much as we can. Our team is always working on opening new city. We are pleasured to share, in the last couple of months, opening of California. And we are going to increase also our city value, not only in area where we are limited by the weather, but also in area like Florida and California, where the weather is not an issue for our business.  Helbiz is not only mobility. As you guys know, now Helbiz is increased to become a lifestyle brand, and we decide to enter in 2 different other business this year. One is food delivery through our biggest -- through our Ghost kitchen, the biggest cost kitchen in Europe. We are really happy to include the food delivery for our -- for all the users, but also in free for our Helbiz Unlimited user. We're going back on this point.  Our kitchen is now -- we'll now open also in Rome. Last week, we announced an important partnership with the former Alitalia, now called ITA Airways, and we are going to open an Helbiz Kitchen in Rome in the next 60 days. Also with Helbiz Kitchen, we are looking to expand in the United States, and we are considering a lot of opportunity in the U.S. I'm sure in the next couple of weeks, we will back on this point, and we will make sure that also Helbiz Kitchen will have a presence in the United States.  Helbiz is not only media and kitchen. In June this year, we decided to launch also a media division that is very important to use the business and especially has our users do more using our unlimited subscription. Helbiz Media is able to launch an OTT service called HelbizLive. Helbizlive is going to be our brand for the OTT service that is included in the Helbiz Unlimited subscription, but also can be subscribed in a separate way for city where we are not present through mobility or kitchen.  Helbiz Media was able to close in the last couple of months important partnership with Amazon, for example. Because from the 1st of December, we are going to be able also to show all our content on Amazon Prime Video Italy, but also with important league such as the soccer league in Italy, Serie B League, and NFL in the United States where we're able to take content and bring in Italy. But we're also sure that Helbiz can work with other major leagues, be sure we can bring content in Italy and in the country where HelbizLive and Helbiz Media operate.  Helbiz Unlimited is also the core of these 3 different verticals. Why? Because through 1 subscription, you can have unlimited mobility, unlimited order for Helbiz Kitchen and unlimited view of all the content of HelbizLive. So we're expecting an important increase in the next month, and we see already an increase on the Helbiz Unlimited subscription. I think this is super important because it show exactly what we want to do. So use micro-mobility to attract user and then offer as much service we can using the same brand and using the same lifestyle.  But now let's go into a little bit more the number of this quarter, and let me turn the call to Guilio. Guilio?
Giulio Profumo: Thank you, Salvatore. We delivered a strong performance for both the third quarter and the first 9 months of 2021. My discussion today will focus mainly on key highlights from the third quarter. Please see today's press release for additional commentary on our financial performance.  For the third quarter, we reported revenue of $4.7 million, up 134% against the Q3 2020, and up 57% from Q2 2021. Similarly, we realized the significant revenue improvement for the 9 months of 2021 to 103% greater than the comparable 2020 period. The increase in revenue was largely driven by the expansion of our fleet and the opening of several new cities across the U.S. and Europe.  Notably, we also experienced an increase in ride volume and trip duration as several key markets ease COVID restrictions and riders are socially distant ways to get around. The recently launched Helbiz Media was also a strong contributor with over $650,000 generated in the quarter. With the proceeds from the PIPE, the warrant exercise and convertible, we are increasing our investments in our business. We have been spending heavily on city expansion, fleet expansion and our kitchen and media initiatives. Being technology-driven, we continue to invest in R&D to build our platform. We're also investing heavily in sales and marketing to drive awareness of our multiple business lines.  Looking at the balance sheet, we ended the quarter with $8 million in cash. However, since the end of the quarter, we raised additional capital through warrants exercise and a convertible offering. As of today, our cash balance is over $30 million. All told, we have raised around $60 million in recent months, leaving us well funded to grow to drive our growth going forward.  Looking ahead, we expect our growth to come from doing exactly what we are delivering on to date, deepening our penetration in existing cities and continuing to expand into new markets. We expect growth to accelerate in 2022 now that we have new vehicles on order, which should arrive well in time for our busiest season in the second and third quarters of 2020. Lastly, we believe that seasonality will not be as impactful for us if we meet our expectations of launching additional cities in Florida and in California in the near term.  With that said, let me turn the call back to Salvatore for some final remarks.
Salvatore Palella: Thank you, Guilio. I think the quarter was a really big success, and we are sure to achieve another goal for the next one. I want to also use the opportunity on this call to explain that we are not going to have issue about supply chain because we were able to place an order in time and through our good relation with our supply in China and all over the world. We are also working really hard to make sure all our city will be fully operate with full number of capacity for scooter and bike and the moped where available.  Let me also say something about Helbiz One. Helbiz One will be our retail scooter and we are really happy last month to start preorder. Preorder started to arrive, and we are also really happy to say we will be in time for the delivery on the end of the Q2. This is a really important achievement for the company because we can add an important streaming line -- revenue streamline to our revenue coming from the retail business. I think this will be really important to be sure we can make  customer using sharing mobility, but also lot of people who want to buy a scooter branding with our company name. So I want to also congratulate to all the project manager, all the people working so hard to make this goal happen. I would like to thank our employees for their hard work and dedication. Also, I want to thank our user, partner and shareholders for support and confidence in Helbiz.  Thank you for your time today. We really appreciate it. We don't have a Q&A session, but please, we invite everyone on referring to us all the questions you guys had. We're happy together with Blueshirt to give you answer using the e-mail investor@helbiz.com. Thank you again and we're looking forward for the next quarter
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. You may now disconnect.
End of Q&A: